Operator: Good morning, and welcome to the World Acceptance Corporation-sponsored Third Quarter Press Release Conference Call. This call is being recorded. At this time, all participants have been placed on listen-only mode. Before we begin, the corporation has requested that I make the following announcement. The comments made during this conference call may contain certain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 that represent the Corporation expectations and beliefs concerning future events. Such forward-looking statements are about matters that are inherently subject to risks and uncertainties. Statements other than those of historical fact as well as those identified by the words anticipate, estimate, intend, plan, expect, believe, may, will and should or any variation of the foregoing and similar expression are forward-looking statements. Additional information regarding forward-looking statements and any factor that could cause actual results or performance to differ from the expectation expressed or implied in such forward-looking statement are included in the paragraph discussing forward-looking statement in today's earnings press release and in the Risk Factors section of the Corporation's most recent Form 10-K for the fiscal year ended March 31, 2018, and subsequent reports filed with or furnished to the SEC from time to time. The Corporation does not undertake any obligation to update any forward-looking statements it makes. At this time, it is my pleasure to turn the floor over to your host, Chad Prashad, President and Chief Executive Officer.
Chad Prashad: Good morning. This is Chad Prashad, President and CEO of World Acceptance. I'm also joined here with Johnny Calmes our Chief Financial and Strategy Officer; and Luke Umstetter, General Counsel. I trust you've all had some time to absorb the Q3 release and the earnings transcripts. So at this time I'll go ahead and open it up to any questions.
Operator: Thank you. [Operator Instructions] We will now take our first question from Vincent Caintic from Stephens. Please go ahead.
Vincent Caintic: Hey, thanks. Good morning, guys. So a couple of questions. So you started your share buyback program. I'm kind of wondering, how aggressive you can be with your share buyback program. And what sort of levels do you think you want to get to in terms of the leverage you can put on in order to get to a full run rate of share buybacks?
John Calmes: Sure, yes. So we have started the buyback program. We bought back -- through yesterday we've repurchased around 267000 shares and we have a fair amount left on the authorization. So there's now $48 million left on the authorization and around $50 million of that we can buy back under the current debt terms. We've always said that we felt like 2:1 debt-to-equity is fairly conservative for our balance sheet and performance. So we're comfortable going to that level and we'll just monitor the market and try to get as much along as we can.
Vincent Caintic: Okay. So do you have a sense of how quickly you'd like to get there? Or is there sort of a pacing you'd like to do? Just trying to get a sense of when the debt assumption started.
John Calmes: Sure. We'd like to get there as quickly as possible, but we're limited by the volumes in the market, right? So there's a limit on how much we can purchase on a daily -- under the daily limit of how much we can purchase. So that will govern to some extent how much we buy back and obviously as well as having access to capacity of the debt facility.
Vincent Caintic: Okay that makes sense. A little other ones. On the -- when you think about your credit reserves going forward could you maybe give us a forward look at what levels you think are an appropriate level and then also where you think credit losses should trend from here? So you've been seeing some nice growth in new customers. I'm just kind of wondering if you could give us a -- just give us a sense of what we should be thinking about going forward since it's kind of been a little bit tough to model where we should be forecasting losses and where we should forecast the reserve level.
John Calmes: Yes. So I mean a lot of that it's hard to project, right? So a lot of it will be determined by our new customer growth. So if we continue to accelerate our new customer growth, it could drive provisions higher or keep them at the same level. Obviously if we were to level off in new customer growth, you could expect the growth in the provision to level off as well. So it's hard to say without knowing for certain what sort of new customer growth we'll have in the future.
Vincent Caintic: Okay. So the 17% charge-off rate that you had this quarter is that sort of the right level? Would you be comfortable going higher in order to try to get growth? Just I guess any sense to how you're thinking about where you want to be in terms of the loss rate that maybe we can try to forecast provisions on our end.
Chad Prashad: Sure. So the 17% loss rate for this quarter as John had mentioned is tremendously impacted by the growth in new customers. And we believe that growth in new customers is a good investment going forward. So if you look at last year's loss rate and the increase from last year's loss rate, it's fairly substantial over this quarter. But if you look at for the whole year, it's somewhat marginal. And going forward, we think that as long as it continues to be a good investment and we continue to see good opportunities to grow whether it's through organic growth or acquisitions of other portfolios and we believe the return is there, we'll continue to invest in it. So going forward to the extent that we believe it's still a good investment, I would expect to see similar loss rates as long as we're continuing to grow at the same rate.
Vincent Caintic: Okay. That makes sense. The portfolios that you've been acquiring could you describe like what's the -- has there been a good pipeline of portfolios? And is there any specific characteristics of those portfolios you've been acquiring?
Chad Prashad: So over the last -- this is probably our third fiscal year of taking down fairly substantial acquisitions compared to what we've done in the past 10 years prior to that. The common theme tends to be that we enjoy taking down portfolios that are 10 to 15 stores ranging up to 100 stores. We've also acquire portfolios that are within our footprint as well as clearly new states for us. So last quarter we acquired stores in Utah, which helps expand our footprint into a new state, but we also acquired nearly 100 stores within our current footprint.
Vincent Caintic: Great. And sorry just the last one for me and I'll get in the queue. But the G&A expenses were up 16% year-over-year and I'm just wondering if that's kind of a good run rate to think about in terms of your investments going forward. When you're making the -- I guess you've increased your staff levels. Is there any reason for that driver and also the higher marketing expense? Thanks.
John Calmes: Sure. Obviously, a lot of that increase was driven by the long-term plan and we've included a schedule in the earnings release to show how that is front-end loaded. So over the next six years you'll see the expense related to that plan decrease significantly. When we look at headcount, we have to add its headcount increases so as Chad said we've acquired 97 locations during the year. We've also had 21 -- we've added 21 new de novo offices during the year. So, there's headcount that comes along with that, but at the same time we've been careful to focus on managing our accounts for employee. So we have seen improvements in the accounts for employee even though we've seen increases in our headcount. So we feel good about that and we'll continue to focus on that and try and improve our accounts for employee which is effectively our efficiency. So with market expense we feel like there's some attractive opportunities out there and we can still acquire customers at good returns and we feel comfortable spending that money to acquire new customers.
Vincent Caintic: Great. Thanks very much.
Operator: Thank you. Our next question is from John Rowan from Janney. Please go ahead.
John Rowan: Good morning, guys.
John Calmes: Good morning.
Chad Prashad: Good morning.
John Rowan: So easy one first. Tax rate for next year?
John Calmes: So yes we think long term in the between 23%, 24% range.
John Rowan: Okay. And now…
John Calmes: It was a little bit lower this year just -- we've had some state tax settlements and that have been favorable to us so it's driven the tax rate down. But long term we still think it's in that 23% to 24% range.
John Rowan: Okay. Just to go back to your comments about 2:1 debt-to-equity ratio. This has been a theme that we've heard before. There was a period in which around the same time you guys did the less relatively large stock comp plan there was a period of levering up and you're buying back $130 million -- $200 million worth of stock per year. It took a few years to go from a 40 -- a sub-1 debt-to-equity ratio to almost 2. How are you guys looking at it? I mean, are we going to see $200 million a year of share repurchases? What availability do you have in your revolver? How comfortable are the lenders with the buybacks with the open Mexico investigations still in place? Just help us frame out the timing of this because it can be fast, it can be slow and whether or not we can use history as an example here.
John Calmes: Sure. Honestly, there's some uncertainty and we don't know for sure, right? So all we can say is that we intend to get back in the market and get back to that 2:1 as fast as we can. But there's certain things that are out of our control and so it's hard to give you any sort of idea on timing on when we get there.
John Rowan: Can you remind me how much you have available on your revolver?
John Calmes: So the commitments on revolver right now are $480 million…
John Rowan: Okay. Is there.
John Calmes: … roughly I'd say. Yes. We have -- our fourth quarter is our big cash flow quarter. And so we'll see where -- the debt outstanding in the quarter was $308 million and you'll see that come down during the over the course of the fourth quarter to by about March 31.
John Rowan: Can you remind me if there's any covenant related to payout ratio speed of repurchases? I mean, can you just go lever right up to $480 million in any timeframe necessary to generate earnings accretion? Or is there a pacing required under the covenants?
John Calmes: Yes. So there are restrictions on our restricted payments or buybacks part of that agreement. So we are limited to 50% of our consolidated net income. So as of right now with what we've spent to-date, we still have $50 million left under that clause. But we'll add to it -- so we'll add 50% of our consolidated income to that each quarter.
John Rowan: Okay. All right. Thank you.
John Calmes: Sure.
Operator: Thank you. [Operator Instructions] Our next question is from Kyle Joseph from Jefferies. Please go ahead.
Kyle Joseph: Hey, morning, guys. Thanks for taking my question. And appreciate you throwing in the stock-based comp table in there. But just related to that a modeling question is there any sort of seasonality regarding those payments? Or can we expect them to be kind of spaced out evenly over the year?
John Calmes: Well, so it's great investing so it will be on every 12 months you'll see a decrease, right? So the grant was in October. So the run rate will be steady through or stable through Q2 of next year and then it will drop and then be steady for the next four quarters and then drop again, right? So there's sort of some staggering and then clips in there. But you should be able to calculate that based on the information we included in the earnings release.
Kyle Joseph: Got it. And going back to the acquisitions you were talking about earlier, can you give us a sense for the pipeline given sort of your target acquisitions?
Chad Prashad: Sure, yeah. So over the past 12 months, we've reviewed several very large acquisitions some medium-sized acquisitions as well. We are very thoughtful on how we price them and so we've taken down a couple of the smaller ones. We haven't yet secured a large acquisition deal. When I say large I mean $200 million, $300 million in ledger. But they are in the market and we do review them fairly regularly. So I haven't seen a slowdown over the past year of what's being traded in the market, or at least being marketed. In fact, I think it's probably fair to say we've seen an uptick over the last 12, 18 months over what's out there and so that's an indication we assume there is a fairly decent pipeline over the next year two years.
Kyle Joseph: Got it. Thanks. And then going back to credit performance to really understand, how new borrowers impact provisioning and the like. But if we could sort of x those out and look at sort of your recurring customers if you could give us a sense for the health of the underlying consumer?
Chad Prashad: Sure. So for just returning customers and existing customers everything looks fairly stable compared to historicals from both a credit score perspective and from overall performance perspective. Really the two major drivers in the increase in our provision have been one just the growth in the entire portfolio and that makes up probably close to around 60% of growth of the provision. Two is the sheer weighting increase of new customers which have grown so much over the past year. I believe the actual portfolio increase is around 40% of new customers. So that ends up creating, if you look at the provision increase somewhere around 30% of that is due to these new customers. There is about 10% out there that's just other things, which could be the impact of taking on some of these larger acquisitions and pulling them into our portfolio. It could be overall economic conditions et cetera, right? So that one we're not really so sure about, but overall that's what the increase has been due to.
Kyle Joseph: Got it. Thanks very much for answering my questions.
Operator: It appears there are no further questions at this time. I would like to turn the conference back to you for any additional or closing remarks Mr. Prashad.
Chad Prashad: Thanks for joining us today. This concludes our 2019 Q3 earnings call. Thanks everyone for joining us and look forward to next time.
Operator: Thank you for your participation. This concludes the World Acceptance Corporation quarterly teleconference. You may now disconnect.